Operator: Good morning. My name is Latonya and I would like to welcome everyone to the JetBlue Airways' Fourth Quarter 2016 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the conference over to JetBlue's Director of Investor Relations, David Fintzen. Please go ahead.
David Fintzen - JetBlue Airways Corp.: Thanks, Latonya. Good morning, everyone and thanks for joining us for our fourth quarter 2016 earnings call. Joining me here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP, Commercial and Planning; and Jim Leddy, our Interim CFO and Treasurer. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors and therefore, investors should not place undue reliance on those statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, 10-K and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release. A copy of which is available on our website. And now, I'd like to turn the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes - JetBlue Airways Corp.: Good morning, everyone and thank you for joining us. Before I start, I just wanted to say that our thoughts go out to the victims of the Fort Lauderdale-Hollywood airport shooting along with their families and friends. I also want to commend our entire team in Fort Lauderdale for their safe handling of this very difficult situation and taking good care of our customers and other travelers despite the uncertainty playing out through the events. Our crew members and customers showed a lot of understanding and I want to thank them for their incredible dedication. I'd also like to commend the airport authority, the Broward County Aviation Department, and all law enforcement and other first responders who attended the scene. Earlier today, we reported our results for the fourth quarter and full-year 2016. In the quarter, net income was $172 million or $0.50 per diluted share. For the year, net income was $759 million or $2.22 per diluted share. I'd like to congratulate our 20,000 crew members on a simply outstanding 2016. This was a year filled with many defining moments. I'm proud of everything our crew members have done in 2016 to strengthen our company while living our values. It's worth taking a moment to highlight just some of the accomplishments from 2016. Our crew members grew a network that now spans 100 cities in 22 countries. In Boston, we surpassed 140 peak daily flights and announced our 63rd destination, with Atlanta starting service in March. We announced our plan to grow Boston to roughly 200 daily flights over the next several years. In Fort Lauderdale, for the first time, we surpassed 100 peak daily flights on our way to our goal of 140 daily flights. We brought Mint to Boston with great success in 2016 and expect to do the same in Fort Lauderdale where Mint service starts later this year. It's the hard work and wonderful customer service delivered by our crew members that makes us the carrier of choice as we grow in these underserved markets. That same dedication is why J.D. Power ranked JetBlue first in customer satisfaction among low-cost carriers for the 12th straight year. Our crew members again then demonstrated their dedication and hard work in operating more of our network in complex US air space than any other airline. The hard work culminated in a 100% completion factor in a record 14,000 peak holiday flights in December. Our crew members begun implemented changes that we expect will improve our on-time performance the old-fashioned way through stronger teamwork and processes and not just having flight teams. And we are seeing some great early results. In our airports, our crew members deployed new self-bag tagging and self-bag drop technology, most notably in San Juan, JFK and Fort Lauderdale. We believe these investments will allow us to focus on what we do best, serving our customers. This airline was founded with a mission to bring humanity back to air travel by delivering a better product at a lower fare, underpinned by this amazing culture and the crew members that deliver it. We invested in that culture with hospitality training by our crew members across all of our domestic airports. Financially, our crew members produced above average-industry pre-tax margins in 2016. As we said at Investor Day, with a focus on execution, we can deliver growth, we can invest in our culture and crew members, we can invest in our products, and we can deliver above-average industry financial performance. As we look to 2017, our focus remains on execution. As we said at the Investor Day, our top priorities are implementing our structural cost program to realize $250 million to $300 million of savings we've targeted by 2020 and delivering on operational improvement. What makes JetBlue a financial success is not just offering great products and services, it's about offering the customer a lower fare. Low fares require that we sustain our low costs. In 2017, we begun executing on cost initiatives in the four broad areas that we identified at the Investor Day. It's still very early, but the team is hard at work in several areas we're looking to improve. As we kick off 2017, our focus on cost and our operation are not short-term goals that we expect to complete in the year. We are focused on execution to ensure as we grow, we have a strong platform to compete for many years to come. I'd like to now turn the call over to Marty to talk about the network and revenue environment.
Martin J. St. George - JetBlue Airways Corp.: Thank you, Robin. Good morning, everybody. And thanks for joining us. Starting with the network, we are pleased with the execution of our network strategy and the results we're seeing from our six focus cities. In 2017, we plan to continue to invest in Boston, Fort Lauderdale, and the West Coast with a focus on sustaining above-average industry margins. Transcon markets remain extremely strong on a year-on-year basis, led by our current Mint markets. Mint flying from New York to both Los Angeles and San Francisco continues to show better than system-average RASM improvement even as we approach our third year of operation. As we said at Investor Day, we continue to see strong margin improvements in our two Boston Mint markets. Mint continues to prove itself as a RASM and margin builder. We're excited for our next Mint markets in March and May, from Fort Lauderdale to Los Angeles and San Francisco. This August, we plan to further expand our JFK Mint services with flights to San Diego. Our Boston focus city continues to perform exceptionally well. We added a 62nd non-stop destination of LaGuardia service in the fourth quarter, and continue to see benefits of greater relevance. Boston business markets remained strong and leisure markets are strong performers as well. We are seeing the benefits of adding key destinations that our corporate customers have been asking us to serve. The Boston-LaGuardia service, which started on October 31, is developing ahead of our expectations in the first two months of operation. We've also been pleased with the on-time performance. Year-to-date on-time performance is close to 90% excluding extreme weather days. Our Latin results remained mixed, but performed generally in line with the system. The Dominican Republic remained very strong in the fourth quarter. We've also seen RASM improvements in Colombia as our capacity adjustments have taken effect. However, we are still closely monitoring the economic trends in Puerto Rico and the impact of the capacity adjustments that we've made already. We know there's heightened focus in the market on our near-term competitive capacity trends, as well as how our growth is evolving. Let me provide our perspective. Starting with competitive capacity, overall, we're not particularly concerned with the data that we see in competitive schedules. We continue to watch the New York Metro Area market to Florida and transcon, and of course, Fort Lauderdale. In New York, the majority of the capacity growth we're seeing both in Florida and in transcon markets is from Newark. This is historically a very high-fare airport. It's not surprising to us that many low-cost airlines, JetBlue included, added capacity to an underserved market when the slot restrictions were relaxed. Starting in November, we've seen a less than one point impact on our year-over-year system RASM in the New York-Florida market. We would expect that to continue as the market digests new capacity. New York-Florida has historically have been extremely successful JetBlue markets. We see no reason that this will be different going forward. Even with the added capacity, New York to Florida margins remained above system average. We have not seen any impact to our JFK West Coast flying from the Newark transcon additions. As I mentioned before, both Mint and non-Mint transcon flying remained strong. That strength, if anything, speaks to the New York to West Coast market as still being underserved. Let me now turn to growth. The headline is that we've slowed our growth as oil prices have rebounded, even as we have continued to grow in new markets. New markets, which I'll define as markets of less than one-year old, are about 4.5% of the system seat miles for the first half of 2017, which is basically flat versus last year. Due to timing, a portion of our growth markets are strategic efforts that we expect to have a somewhat longer development period. This strategic growth includes an important long-term investment in Cuba, additional intra-west flying in Long Beach, and our growth in Newark. These investments are partially in our fourth quarter numbers, but will have a larger impact on the first quarter. Moving to the revenue environment, in the fourth quarter, top-line growth was 3%. Unit revenue declined 1.5% on capacity growth of 4.5%. Our trends in the fourth quarter closely mirror what you've heard from the industry. We saw improvement in close-in yields throughout the fourth quarter. November, and particularly December RASM, performed substantially better than we had expected on our last earnings call. Trends improved starting in the middle of October and improved throughout November into December. Turning to our revenue guidance, we expect January RASM to decline between 8% and 9%. We're disappointed with how the month has performed. However, reported RASM is not truly representative of the underlying trends. Three major factors are impacting January: First, the impact of Winter Storm Jonas last year negatively impacted the month by two points. Second, is the timing of the new markets starting in a seasonally weak period. Third, the December and January calendar shift compressed the holiday return and had an impact on overall demand for holiday travel. We believe the performance we see in January is temporary. If you look at the middle portion of January through last weekend, and that is the cleanest portion of the month with all the changes year-over-year, RASM declined approximately 3%. Beyond January, current bookings are pointing to positive RASM and peak February period. Our initial read in April is also encouraging. We expect January to be by far the weakest month of the quarter, and would expect sequential improvement in RASM from the first to the second quarter. Easter falling in April this year will impact March through May comparisons. Last year, the early Easter placement shifted about one point of RASM from April into March, and about two points of RASM from April into May. This year there are regions with spring breaks that have moved from March into April as well. In closing, I'd like to echo Robin and thank our crew members for their award-winning service and an outstanding 2016. None of our achievements would be possible without them. And with that, I'll turn the call over to Jim to provide further detail on our results.
James E. Leddy - JetBlue Airways Corp.: Thank you, Marty and Robin. Good morning, everybody and thanks for joining us. This morning we reported fourth quarter 2016 operating income of $296 million. Pre-tax income for the quarter was $274 million. Operating margin was 18% and pre-tax margin was 16.7%, down year-over-year 2.7 points and 2.3 points, respectively. As anticipated, the fourth quarter saw acceleration in our unit cost trends as capacity growth further slowed. Excluding fuel and profit sharing, year-over-year unit costs increased 5.6%. This was in line with our fourth quarter guidance range of 4.5% to 6.5% growth. We ended the year with approximately $970 million in cash and short-term investments. During the fourth quarter, we made scheduled debt and capital lease payments of $220 million. At the close of the year, our adjusted debt to capitalization ratio was 35%. We remain within our targeted range between 30% and 40%. As I noted at our Investor Day in December, we expect to manage our leverage to be in the bottom-half of our targeted range over the coming years. In the fourth quarter, we repurchased 5.8 million shares for $120 million as part of our evolution to a more balanced capital allocation program. We have $380 million remaining under the current share repurchase authorization as we discussed last December. Turning to CapEx and fleet, JetBlue ended 2016 with 227 aircraft including 37 A321s, 17 of which are Mint configuration. We purchased three A321 aircraft in the fourth quarter with cash. Over 43% of our fleet or 97 aircraft are unencumbered at the end of 2016. We bought out the leases on nine A320 aircraft in the fourth quarter for a total of over $150 million and are actively looking at further buyout options. Our 2016 transactions will drive future annual aircraft rent savings of over $18 million a year and mitigate future return condition expense. Aircraft leases represent a high cost of our debt and this buyout offers an accretive use of our cash. Turning to guidance, this morning we filed our Investor Update with the SEC and this was made available on our Investor Relations section of JetBlue's website prior to the start of this call. We continue to plan capacity growth of 6.5% to 8.5% for the full year 2017. For the first quarter, we expect capacity growth of 4.5% to 6.5%. Planned capacity growth should be higher in the second half of 2017 given the timing of aircraft deliveries, as well as, lapping the declines in stage length that began in the fourth quarter of 2016. We expect CASM excluding fuel to grow between 1% and 3% in 2017, in line with the guidance we gave last December. In the first quarter, we expect year-over-year CASM excluding fuel to grow between 3% and 5%. We expect unit cost growth to again be uneven throughout the year. We expect CASM excluding fuel growth to be higher in the first half given comparisons, slower capacity growth and larger declines in stage length. We expect CASM ex fuel to peak in the second quarter and then moderate as we move through the third and fourth quarters. Turning to fuel, based on the forward curve as of January 13, we expect our first quarter fuel price per gallon, including the impact of hedges and taxes, to be approximately $1.73 per gallon. Our hedging positions have not materially changed. Hedges cover about 10% of our expected 2017 fuel consumption, spread evenly over the year. We continue to expect 2017 total capital expenditures of approximately $1.2 billion to $1.4 billion, of which approximately $1.05 billion to $1.2 billion relates to aircraft and includes ongoing efforts to purchase additional aircraft we currently have on operating lease. For the first quarter, we expect total capital expenditures of approximately $305 million to $365 million. In the first quarter, we expect to take delivery of three A321s, two of which will be in Mint configuration. We have a total of 15 A321s on order for 2017, 14 of which are scheduled to be in Mint configuration. We expect to use a mix of cash and debt financing for our 2017 orders. In the first quarter, we expect scheduled debt payments of approximately $50 million and have approximately $195 million in debt payments due for the full year. In closing, I'd like to echo Robin and Marty in thanking our crew members for all their hard work. And, with that, we are happy to take your questions.
David Fintzen - JetBlue Airways Corp.: Thanks, everyone. Latonya, we're now ready for the question-and-answer session with the analysts. Please go ahead with the instructions.
Operator: Thank you. We will now begin the question-and-answer session for investors and analysts. And your first question comes from the line of Michael Linenberg of Deutsche Bank.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Oh, yeah. Hey. I guess this question is for Marty. Two questions, actually. Marty, on the RASM outlook for the quarter, I think you said February was going to be positive, did you also indicate that margin is positive as well? Or maybe I misheard.
Robin Hayes - JetBlue Airways Corp.: Good morning, Michael. Thanks for your question.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Hi, Robin.
Robin Hayes - JetBlue Airways Corp.: Yeah. Hi. I'm going to hand over to Marty in a sec. I just wanted to say that we appreciate the sort of description we gave for the first quarter, it was kind of very choppy. And so, I'm actually going to ask Marty to, if you don't mind, Marty, kind of take your time and walk through that whole outlook again, if that's okay, in terms of the first quarter and just clarify what you said on the script?
Martin J. St. George - JetBlue Airways Corp.: Sure.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Oh, yeah. That'll be great.
Robin Hayes - JetBlue Airways Corp.: Thank you.
Martin J. St. George - JetBlue Airways Corp.: Okay. Good. Well, let's back up and talk about January first of all and I'll put some more color on the data I put in the script. First of all, as you said, Jonas, last year, there's two-point headroom right off the bat in the month. We also, in January, had a three-point counter impact. We talked enough in our last call about the impact of the compressed holiday season. We also, in January – if you look at the calendar for January, and in fact last year, the first two days of January were a Saturday and a Sunday, which are very peak days for us and always peak days for us. This year, they're Monday and Tuesday. So, all in, we think the calendar impact was worth about three points. And then, if you look at the capacity growth that we had talked about with respect to the investment, the Newark, the intra-west flying in Cuba, those combined to be about one point. So, obviously, some of those go away. The impact of the additional ASMs and the strategic routes will actually stay throughout the quarter. With respect to February, we are right now guiding towards a positive number in February. We're actually feeling relatively good about where we are in February. We did not – for the peak period of February. I would say, overall, if you go back actually to fourth quarter and look at what happened with our close-in forecasting for fourth quarter, and this is not just JetBlue, this is across the industry, we saw a lot of within-quarter strength. In fact, if you compare when we had our last call, which was basically at the beginning of the quarter, look at the beat that we did and most of the other airlines did, it's really because of close-in strength. We're starting to see that come for February as well. We did not see that coming in for January. With respect to March, obviously, the impact of Easter move to April is an impact. We sort of look at March and April combined for that reason. And for March and April combined, overall we do continue to see the sequential improvement.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. And then just what is the Easter impact for March this year? I didn't think you said it. You talked about last year the impact. Is it a point, maybe more, two points, because of your network?
Martin J. St. George - JetBlue Airways Corp.: Well, let's put it this way. We look at the impact on April as being three points, some from March and some from May.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. That's helpful. Just one other question. You guys historically, I mean, you're pretty well plugged-in on kind of the whole government relations side, D.C., et cetera. Curious about just where you are with respect to Long Beach? When I saw that headline, I thought that that was a bit of a surprise where the council, I guess, turned down international service from that airport. So, sort of number one, can that be revisited or is this permanent? Number two, what was the vote? What were the issues? Number three, it seemed like what you guys were planning to do is actually going to be very good for the region, so I'm not – just curious about kind of the underlying dynamic, how that played out and can that be changed?
Robin Hayes - JetBlue Airways Corp.: Thanks, Michael. It's Robin. I'll take that one. Look, we are extremely disappointed. I mean, our government affairs team and our corporate real estate team and all of our crew members based in Long Beach have worked hard for the last couple of years to make the case to open an international FIS facility in Long Beach. It has been a controversial issue locally with some of the residents who live near the airport. But we absolutely share your view that there was a very significant economic benefit to the City of Long Beach and the area to start international flying and indeed the city commissioned its own economic study that's kind of laid that out. So, this only happened this week. We were really disappointed, surprised by the vote and we're kind of, I think, still taking stock in terms of how we go forward. I don't rule anything out at this point, and watch this space, more to come.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay, great. Thanks, Robin.
Operator: Thank you. Your next question comes from the line of Dan McKenzie of Buckingham Research.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Yeah. Hey. Good morning. Thanks. Marty, I guess I didn't hear the breakout of the Fort Lauderdale airport attack, but I believe the re-accommodation probably caused JetBlue some last-minute revenue. How should we think about that impact or is that lumped in with the severe weather?
Martin J. St. George - JetBlue Airways Corp.: Hi, Dan. Thanks for the question. Actually, we look at the impact of the weather and the impact of the re-accommodation of shooting as basically neutral to RASM because we unfortunately did have to cancel a good number of flights as well. So, we didn't call it off because it's actually neutral.
Dan J. McKenzie - The Buckingham Research Group, Inc.: I see. Okay. And kind of moving to a different topic here, I wonder if you can give us an update on the revenue that your airline partners helped to drive in 2016? How many partners are we at today and how much do they contribute? And how do we think about the collective growth trajectory of all these partners? I guess if you don't want to give like a revenue growth projection, at least in terms of incoming capacity from these partners this year.
Martin J. St. George - JetBlue Airways Corp.: Hi, Dan. Thanks. Well, first of all, I think we're up to 42 or 43 partners. Or, 49 partners, excuse me, I'm being told across the room right now. I think we're very lucky that we're an airline that's operating in some very desirable airports, first and foremost, JFK and, secondarily, Boston. But I think the good news for us this year has been the growth we're starting to see in Fort Lauderdale. I think, we will specifically call out the choice by our friends in Emirates to go into Fort Lauderdale versus Miami. I think that's a direct relationship of the feed opportunities that we can offer them. Obviously, as anyone who has the MIDT data can see, we create a lot of feed on to Emirates at both JFK and Boston. And we look forward to doing the same thing for them in Fort Lauderdale.
Dan J. McKenzie - The Buckingham Research Group, Inc.: And can you just give us some revenue perspective or at least what percent of the passengers from them are connecting on to JetBlue?
Martin J. St. George - JetBlue Airways Corp.: So, I think, if you go back to the last time we updated this, it was a number that's in the single-digit percentage of our revenue. It's certainly noteworthy, and it's very much appreciated. But it's not changing dramatically. And I would say, as they continue to grow, we look forward for that number to go up. And I think we're certainly optimistic with the current Open Skies regime that we'll continue to see growth into our network.
Robin Hayes - JetBlue Airways Corp.: Dan, good morning. It's Robin. I'd just like to add, and I think what we find with the way that that traffic works is that – Marty gave you an average number, but there were certain markets where it's really made the difference whether we can fly it or not. We use the example Detroit-Boston because I think it's a textbook case study, a route we really struggled to kind of justify to start flying. It suffered from very high fares. And then, we come on the market, a very, very significant percentage of that traffic is fed by Emirates as a partner. In fact, I visited Detroit to be with our crew members towards the end of last year, and I mean, it's a very significant number, literally every flight connecting onto Emirates. And it really enabled us to start that market and lower fares and offer competition. And so, that's really the power of these partnerships, and we think it acts as a very kind of good competitive element to keep the U.S. industry competitive and open for access around the world.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Thanks, guys.
Operator: Thank you. Your next question comes from the line of Jamie Baker of JPMorgan.
Jamie N. Baker - JPMorgan Securities LLC: The RASM guide, if you leave some wiggle room here and there, it does suggest that you may be among the very few airlines to witness a steeper first quarter decline than what you saw in the fourth quarter. For how long would you tolerate bucking the industry trend before you took another whack at capacity?
Martin J. St. George - JetBlue Airways Corp.: Hi, Jamie. It's Marty. I mean, frankly, I think if you had asked us yesterday, we would be ready to announce some changes on this call. After talking to our counsel, we realized that we should probably not get too far ahead of ourselves. But I think, if you go back and look at our ASM churns over the last two years or three years, as we have seen fuel go up, we have reduced our growth rate, 2016 was less than 2015, 2017 is less than 2016. So, we have reduced our growth rate. But we're looking very closely at making more changes in addition to the ones you've seen already in places like Puerto Rico and Colombia in reaction to the market. So, let me make it very clear, we are on it and we'll be announcing some things soon.
Jamie N. Baker - JPMorgan Securities LLC: Okay. I appreciate that. Also, while I have you, Marty, you articulated that Boston margins had turned positive relative to the system ex-Boston earlier this year. I think, it was slide 29 or 30 in the November deck, though there was no scale on that and it only ran through the second quarter. In light of the increases in Boston in competitive capacity and the impact of the LaGuardia service, is Boston still running at some sort of margin premium to the broader network?
Martin J. St. George - JetBlue Airways Corp.: Yeah. And so, two comments. First one is we aren't really seeing any dramatic competitive moves in Boston. So, I'm not sure I fully understand what you mean on the ASM front. Because I don't think we've seen anything accelerate, maybe it moves up 0.1 one way or the other, but it's not really dramatic. But absolutely from a margin perspective, that trend has unquestionably continued.
Jamie N. Baker - JPMorgan Securities LLC: Got it. Okay. Thank you very much.
Operator: Your next question comes from the line of Savi Syth with Raymond James.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good morning. Could you – I was wondering on the cost side, if you are able to kind of breakout for 1Q and 2017, just how much of that pressure is just coming from the wages line, at wages and profit-sharing line? And then as well as the progression where – I mean, by fourth quarter, do we get to kind of flattish levels there? Just kind of curious about the progression throughout the quarters.
James E. Leddy - JetBlue Airways Corp.: Yeah. Sure, Savi. It's Jim. Thanks for the question. You're exactly right about the progression. It's kind of the exact opposite of last year. So, as – we're going to start out with a lower ASM profile and gradually build throughout the year. So, you'll see that CASM ex would be front-loaded in the first half, and then as I said in the prepared remarks, we expect it to then decline as we go through the year. And the biggest – one of the big – the biggest impact on the year is actually, as I mentioned at Investor Day, was a significant drop in stage roughly 2.5% drop in stage length year-over-year 2017 over 2016. And in terms of salaries and wages, the biggest impact for 2017 was about half a point which was essentially the net of the investment we made in our crew members offset by the adjustment to our profit-sharing payout model. But other than that, we didn't – we don't have a significant impact from that line in 2017.
Savanthi N. Syth - Raymond James & Associates, Inc.: That's helpful, Jim. And then just a follow-up on your stage length comment, does that mean – I wonder if you could kind of help me understand just how much that is going to drag earnings – drags cost. And then also maybe what kind of a benefit it might provide on the revenue side?
James E. Leddy - JetBlue Airways Corp.: Well, from a drag perspective, it's mainly on the denominator. So, our absolute cost growth in 2017 is very similar to our absolute cost growth in 2016. So it's driven by the strategic investments that we're making on the West Coast flying, in Cuba, and Boston-Laguardia, and I'll let Marty comment on the revenue impact of that flying.
Martin J. St. George - JetBlue Airways Corp.: With respect to the – I mean, obviously, if you look at the growth markets that we talked about earlier, North Florida aside which is sort of at system average. The Cuba markets, overall and the West Coast market, absolutely a significantly shorter RASM – excuse me extremely shorter stage. I think, our system stage is down about 2%, which actually quarter-over-quarter is a pretty big move.
Savanthi N. Syth - Raymond James & Associates, Inc.: And Marty, maybe just so – should I expect that maybe initially because of the new markets that the benefit you get from the shorter stage length doesn't show up initially, but it should as you go out through the year?
Martin J. St. George - JetBlue Airways Corp.: I mean, we'll be annualizing it.
Savanthi N. Syth - Raymond James & Associates, Inc.: On unit revenue.
Martin J. St. George - JetBlue Airways Corp.: Yeah, I mean, given that it started with basically fourth quarter, most of it started at fourth quarter, we'll be annualizing it throughout the year.
Savanthi N. Syth - Raymond James & Associates, Inc.: All right. Thank you.
Operator: Your next question comes from the line of Hunter Keay with Wolfe Research.
Hunter K. Keay - Wolfe Research LLC: Thanks. Good morning, everybody. Marty, you've alluded to cutting Colombia and Puerto Rico, but is that just going to end up in the domestic capacity with no change to the overall growth. And on the RASM commentary, I can promise you that we are all still very, very confused. I want to make sure that we're clear. Did you say February would be up or just the peak days in February would be up? And if you want to take this whole thing from the top again, I think we'd all be fine with that.
Martin J. St. George - JetBlue Airways Corp.: Okay. Great. So, first of all, Hunter, talking about capacity cuts, I think if you look at the cuts we made in 2016 and what we've already got for 2017, you've seen that our overall ASM growth has reduced. So, no, this is not pushing on a balloon. I think, in general, we try to take a very conservative view on industry RASM. And I think based on what we're seeing, we'll react appropriately with respect to changes in capacity. So no, I don't think you should look at that as just moving from Latin America to domestic. And with respect to the overall quarterly RASM – okay, first, let me start with a conversation about what we saw – well, I guess I'll start with January, again, just to make sure we're clear on what we saw in January. Overall, we saw an impact in January of roughly about 3 points. And I'll go through it in detail in a second. And in fact, if you look at our...
Hunter K. Keay - Wolfe Research LLC: Well, Marty, I think we get January. I'm sorry, just to save you some time. I think we get January. It's the February peak stuff and then the March, April, May, that's where it gets confusing. Yeah, I'm sorry.
Martin J. St. George - JetBlue Airways Corp.: Okay. Great. Perfect. Okay. First, about February peak. If you think – again, we talk about the trends that we saw in the fourth quarter with respect to our close-in RASM strength that we did not see during the last call. I think, we are starting to see that for the peak period in February. We're seeing very comfortable positive RASM during the peak period. We're still not a positive RASM during the trough period. We definitely see it during the peak period. With respect to March, obviously, we have an Easter impact, which is a pretty big number. The March, April period combined is also showing significant improvement versus what we saw in January.
Hunter K. Keay - Wolfe Research LLC: Okay. So, 1Q is clearly going to be negative, it sounds like, on a quarterly basis. I understand you don't want to give February just yet. But is it fair to assume that 2Q should be positive?
Martin J. St. George - JetBlue Airways Corp.: I kind of – I wish I could tell you. We really – we generally don't guide that far out. And I think we've talked in previous calls the challenge we have with visibility. So, I wouldn't want to get too far ahead. But I will say separately, I talked earlier about our intent to be making capacity changes a reflection of the current RASM environment. We are going to continue to manage the company to try to create above-industry average margin. So, if that involved capacity cuts. I think, you should expect to see that from us.
Hunter K. Keay - Wolfe Research LLC: All right, Marty. Thanks a lot.
Operator: Thank you. Your next question comes from the line of Helane Becker with Cowen.
Helane Becker - Cowen and Company, LLC: Thanks, operator. Hi, guys. Thank you for taking my question. So, can I not talk about RASM for a minute, and actually ask about something not related to pricing, which is can you update us or is there any updates since last Investor Day on the pilot contract and whether or not you're finding it difficult to find pilots, what your attrition rate is like and so on? Thanks.
Robin Hayes - JetBlue Airways Corp.: Hi, Helane. It's Robin. Good morning. And yeah, I'm very happy to give Marty a break for a couple of minutes and talk about something else. But we do appreciate the conversation on RASM because we know it's an important one and we know it's important to investors. And so, we're very focused on that. In terms of the – where we are with our pilots, we – no, we haven't seen any change to our sort of attrition numbers. We still have no issue at all in hiring pilots, which is good because we have a plan to recruit another sort of 200 pilots to 300 pilots this year. And we continue to make progress on the contract, negotiations continue. As you will recall, we did include our pilots in the 8% increase this year that was voted in favor (37:35) with a very strong majority, and we continue to make progress. And don't want to give any prediction on when that gets finished, but just to remind you and others what we said at Investor Day that we do believe the overall cost of the pilot contract, wherever that may end up, are baked into the sort of two-year CASM guidance we provided at Investor Day.
Helane Becker - Cowen and Company, LLC: Okay. And then, just a follow-up on Florida specifically. Are you at all concerned about the competitive capacity that actually is coming into Fort Lauderdale and, to a lesser extent, Orlando, and that it won't turn into another market similar to Dallas or Chicago?
Martin J. St. George - JetBlue Airways Corp.: Hi, Helane. With respect to competitive capacity, I mean, competitive capacity comes and goes, and we don't really lose a lot of sleep about the ins and outs as they come in. Strategically, I think if you go back to what we showed in our Investor Day slides with respect to our unit revenue performance in South Florida versus our two biggest competitors, we're very confident about our ability to compete there. So, I would say, no, we don't really have any concern like that. I mean I continue (38:52)...
Helane Becker - Cowen and Company, LLC: Okay.
Martin J. St. George - JetBlue Airways Corp.: ...to execute. We deliver great product, and it's reflected in the revenue results.
Helane Becker - Cowen and Company, LLC: Okay. Merci. Thank you for your help.
Robin Hayes - JetBlue Airways Corp.: Thanks, Helane.
Operator: Thank you. Your next question comes from the line of Brandon Oglenski with Barclays.
Brandon Oglenski - Barclays Capital, Inc.: Hey. Good morning, guys. So, I hate to do it, Marty and Robin, but I'm going to come back to RASM. So, I want to come back to Jamie's question. Just philosophically speaking, how fast do we expect a reaction from you guys if you're not tracking industry performance here on revenue. And maybe, Marty, not necessarily where that capacity is going to go, but overall is this something that you're going to be willing to pull the lever on pretty quickly this year?
Robin Hayes - JetBlue Airways Corp.: Yeah. Let me take that, if that's all right. And then – look, I think that we are all extremely disappointed in January, so let's get that out there, let's put it on the table. When we look ahead to the rest of the year, as we saw in the quarter – last quarter where we saw that sort of late, late strengths, and I think Marty has talked encouragingly in terms of what we think for February. So, we don't want to overreact just on one month. Having said that, we are very conscious of our commitment on margins. And so, there are things that we have identified that we need to do, that we will be taking action on in the short term. It is our policy, as is normal, not to kind of communicate that ahead of actually doing it which is why kind of Marty isn't sort of being more specific today. And we will – we won't hesitate to do that. But I would also point out that we saw some good last minute strength in quarter four. As we look ahead, January really is a sort of very – stands out as an anomaly of a month. So, what we have to do is get that balance right.
Brandon Oglenski - Barclays Capital, Inc.: Okay. I appreciate that feedback. And, Robin, looking out longer term here, if, let's say you do get back to industry average here pretty quickly, can you just update, for everyone on the call here, the priorities on capital allocation? Because it looks like you should have some free cash flow above and beyond your capital budget this year, leverage is coming down, and relative to a lot of other equities, I think your stock valuation is pretty cheap. So, just tell us, does that prioritize maybe that buyback program you have a little bit more this year than maybe it would in a more normal period?
Robin Hayes - JetBlue Airways Corp.: Yeah. Jim, will you take that?
James E. Leddy - JetBlue Airways Corp.: Yeah. Hey, Brandon. Thanks for the question. Yeah. The authorized program that we talked about at Investor Day goes from, the remainder of it is from this year to 2019 and we actually – we absolutely have the ability to take advantage, be opportunistic and either accelerate that. And we – and additionally, in the same vein, we have the ability to slow the pace in the case of macroeconomic environment change or a fuel change, et cetera. So, we absolutely can manage it that way within the parameters of the program that we talked about.
Brandon Oglenski - Barclays Capital, Inc.: Okay. I guess I was just asking more, though. Does it become more of a focus on the capital allocation this year, just given where your leverage profile has gone and where the stock valuation is today?
James E. Leddy - JetBlue Airways Corp.: Well, it's not just this year, but it's more of a focus on our capital allocation model in general because we've gotten the – as I talked about at Investor Day, we've gotten the debt level to the range that we want it to be at – just from a cost of capital perspective, as well as from providing balance sheet strength and providing us the ability to have – providing us that flexibility that the strong balance sheet provides us. So, if you think about what we've been doing the last couple of years, it's been heavily more weighted capital allocation model towards prepaying debt. A lot of the great economics that we were driving with that have shifted now towards more capital allocation and that aligns perfectly with our announcement of the upsize program. So, just by upsizing the program, we're making that shift towards a more balanced capital allocation model. So, you're exactly right, we are prioritizing it over prepaying debt.
Brandon Oglenski - Barclays Capital, Inc.: Okay. Appreciate it, guys. Thank you.
Operator: You next question comes from the line of Kevin Crissey with Citi.
Kevin Crissey - Citigroup Global Markets, Inc.: Hey, good morning, everybody and everybody in JFK and around the company, I'd like to say hello to everybody. The big quick picture question followed by a RASM clarification, which I know no one is looking forward to, but it's – but actually I think it's the easy one. When I think about your bigger picture inter West Coast flying, can you talk about what we should see in the future? You talked about a West Coast presence, is that – inter West Coast, I know you've added the Long Beach flying, should we think about a focus city – incremental focus city out there or is the Mint expansion and the Long Beach expansion kind of the bulk of what we're talking about there?
Robin Hayes - JetBlue Airways Corp.: Yeah. Hi, Kevin. Good morning, and it's – still getting used to you being on the other end of the phone, although we do love Dave. The – disappointed in what happened in Long Beach this week with the international FIS, that's always been an airport that we felt we'd benefit from that. So, we certainly have all of that under review right now in terms of the way forward. Long Beach will remain a focus city. In terms of the rest of the West Coast, the focus really is the – the transcon and building out the Mint expansion. We have 14 airplanes coming for the rest of this year. They are all Mint airplanes and so that's going to allow us to continue to build that franchise and certainly not looking at this point to build another focus city on the West Coast.
Kevin Crissey - Citigroup Global Markets, Inc.: Okay. Thank you. And the RASM clarifications, maybe, Marty, if we look on the year-over-year numbers, it looks like your comparisons get massively easier January to February and March is an easy comp, and then April is a really easy comp. But how much of that is a function of 2015 having been so good that it made 2016 look so down year-over-year as opposed to 2016 actually being a bad outcome? If you know what I mean.
Martin J. St. George - JetBlue Airways Corp.: Oh, trust me, Kevin, I know exactly what you mean. And we have been looking at a lot of these comps year over two, (45:38) because the incredible tailwind we had in 2016 performance. And I think actually, when we look at year over two, (45:47) it smooths things out a lot because we are seeing a bit of that whipsawing up and down.
Kevin Crissey - Citigroup Global Markets, Inc.: Okay. Thank you.
Operator: Thank you. Your next question comes from the line of Duane Pfennigwerth of Evercore ISI.
Duane Pfennigwerth - Evercore ISI: Hey. Thanks. Just with respect to January, what's the biggest variable in the change? Because I think on prior calls, it sounded like we were going to get some of that December 3-point headwind back. So, I mean what market specifically changed or set of markets? And to what extent is your pricing in LaGuardia-Boston contributing to this 8% to 9% decline?
Robin Hayes - JetBlue Airways Corp.: Hey. Duane. You were really breaking out, I don't know if that was you or us. Would you mind just repeating the question? I think we have it, but I just want to be clear, maybe others on the call didn't hear it.
Duane Pfennigwerth - Evercore ISI: Yeah. Just with respect to January, it felt like at one point, the headwind to December, the 3 points that you called out, I think you expected to get some of that back in January. So, what set of markets contributed to this 8% to 9% decline? And specifically, what was the impact of your pricing in LaGuardia-Boston in that January number?
Martin J. St. George - JetBlue Airways Corp.: Hi, Duane. Thanks. I appreciate you repeating that just to make sure that we answer it as fully as possible. If there's any specific driver for January market-specific, I think it's actually not market-specific at all. I think it almost could be helpful to explain going back into what we saw in the fourth quarter. Again, after the earnings call, I peg at around October 18 and 19, we really saw an acceleration in close-in revenue performance. And I would say, if you look at sort of the trends that we follow, and we really look at not just our own data, also looking at the travel industry ACT (47:45) data. Again, not totally relevant for us because we're still majority direct booked, but it's a good indicator as far as how the sector is doing. And I don't want to go back and use the second derivative line because it's actually not second derivative. We saw a sign change as far as growth. I mean, things really moved. And that actually continued all the way literally until like December 22, December 23. And then, right after that, we saw things go right back to where they had been before that. And I think that's really what impacted January. It was really close-in yields that we saw in the fourth quarter that we did not see in the first. I mean, January. Excuse me.
Duane Pfennigwerth - Evercore ISI: And with respect to potential policy regulatory changes, have you guys done any analysis of what a border tax might mean for air travel? And thinking about export credits and imports, is there a metaphor for airlines and passengers and what the early potential assessment is from your perspective?
James E. Leddy - JetBlue Airways Corp.: Hi, Duane. This is Jim. Your question was breaking up a little bit, but if I repeat it, you're asking if we've started to understand the potential impacts of the various tax proposals that are out there. Was that on passenger revenue you asked or, in general on the financial statements?
Duane Pfennigwerth - Evercore ISI: Well, border tax specifically, and if you could give any thought to in import versus in export for airline passenger travel?
Robin Hayes - JetBlue Airways Corp.: The border tax...?
James E. Leddy - JetBlue Airways Corp.: Yeah. We've spent a lot of time understanding the different proposals out there. It's really too early to tell what ultimate scenarios will be. But we're taking a very hard look at it. I think you're not going to get a substantive answer from really any airline at this point. We're trying to look at it holistically. We're trying to understand what could the border tax implications be on things like MROs or aircraft purchases, as well as all of the various income tax potential proposals and trying to understand it holistically.
Duane Pfennigwerth - Evercore ISI: Thanks for the time.
James E. Leddy - JetBlue Airways Corp.: Thank you.
Operator: Thank you. Your next question comes from the line of Joseph DeNardi of Stifel.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Marty, just on the commentary around looking at capacity, I'm just trying to maybe set expectations in terms of how much flexibility you guys have this year. Were you just talking about kind of the lower end of your full-year guidance or is it more than that? And then if we think about 1Q RASM coming in at like down 1.5% or 2%, is that enough to take down capacity for the year?
Martin J. St. George - JetBlue Airways Corp.: Hi, Joe. Let me take both those questions sequentially. We're not in a position to make any change to our guidance right now. And if we do that, we'll deal with that in the future. But I want to actually go back to the point that Robin made, which was we do take seriously the commitment we made for industry average margins. And I think we're actually going to have a sequential improvement throughout the quarter, but it doesn't mean we're not going to continue to take action and make sure we continue to fulfill our commitment.
Robin Hayes - JetBlue Airways Corp.: I think, Joe, if you look back historically, what we've done, we normally guide to like a 2-point range and you've seen us sort of go above that in strong years where we've seen strength and you've seen us actually, re-guide lower when we've had years where we've removed capacity. So, I think we have shown an ability to react and it is early enough in the year that we do have most of the year ahead of us as we start to think about some of the changes that we want to make. And some of those, you'll start to see quite soon.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Yeah, that's fair. I'm just trying to think that I think between the RASM guide and the commentary around maybe lowering capacity, there's some uncertainty as to what that means, so I'm just wondering if you guys could maybe put a finer point on it? But appreciate it if you don't want to at this point.
Robin Hayes - JetBlue Airways Corp.: Yeah. We're not ready to do that right now. For those of you that follow things on a weekly basis, you'll start to see some of that rollout.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Great. Thank you very much.
Operator: Thank you. Your next question comes from the line of Rajeev Lalwani of Morgan Stanley.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi. Good morning. Thanks for the time. You highlighted on the RASM side, January being a bit of an anomaly and things just getting better sequentially as we look into 2Q, but at the same time, you're adjusting capacity. And so, are you adjusting capacity because of just the numbers that you're seeing in the next quarter or two just aren't sufficient enough or is it more something in the back half of the year that you're seeing that's maybe having you pause, and how you're thinking about supply? If that question makes sense.
Martin J. St. George - JetBlue Airways Corp.: Hi, Rajeev. I think I understand what you mean. And I'd actually go back to the point I made a little bit earlier which is, we recognize that among the levers that we control to produce the margins that we committed to with respect to above-industry average margins, capacity is a very important one. So, I think from that perspective, we'll take the action that we need to take to fulfill the commitment that we made last year and we reiterated on Investor Day. And I hope that answered the question. I think that's what you meant.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Yeah. I guess, maybe the other way to approach is, in the back half of the year, is there something that's going to – based on the sort of the base case plan, something that you're seeing that we're not that's going to derail sort of that improvement as we look out post January?
Martin J. St. George - JetBlue Airways Corp.: Nothing comes to mind, honestly to drive that. I'm not sure.
Robin Hayes - JetBlue Airways Corp.: Yeah. I think, let me just add. It is tricky, right, because we're not coming out and saying specifically what we have in mind, but clearly, there's some adjustments we need to make in the short to medium term in order to sort of address the points Marty raised. As we look at the back half of the year, just based on the ASMs that we guided and our quarter one (54:31) ASMs, you do see an acceleration of ASMs. And so, that's something that we also need to take a good look at to make sure, given what we've seen in quarter one, is that something we still feel comfortable with in the back half of the year. Clearly, when you make adjustments further out, you are able to capture a higher percentage of the benefit because you can adjust, you haven't scheduled those airplanes, you haven't scheduled those crews, when you make more shorter-term adjustments, then you already have some of those costs in the system. So, I think what Marty is saying is, we're looking at both some of the shorter-term changes in some of the markets that we are really struggling to see the level of RASM performance that we think we should be achieving and we're also taking a longer term view in terms of the overall capacity profile for the year. And as and when we make those adjustments, we'll update everyone accordingly.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. Very helpful, Robin. And then, kind of relating to that as we think about capacity adjustments, should we also consider CapEx adjustments as well, deferrals, what have you?
James E. Leddy - JetBlue Airways Corp.: Hey, Rajeev. It's Jim. We have some flexibility on the CapEx side, in the $1.2 billion to $1.4 billion guide. We have roughly $100 million to $125 million in our forecast related to the aircraft lease buyouts. We have the ability to be flexible on that. So, if it looks like, from a free cash flow perspective, we need to make adjustments, we can certainly do that.
Robin Hayes - JetBlue Airways Corp.: I would also remind you that the airplanes that we have coming this year, the 14 left, they're all Mint airplanes, and so the Mint part of our business continues to perform extremely well. And so, they are sort of important. And most of those airplanes, actually, if you look at our order book, they come in the last three or four months of the year. We're roughly about one a month for the first sort of eight, nine months, and then we go two a month for the last three or four months. And so a lot of that capacity actually will be felt next year rather than this year.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Very helpful. Thank you.
Operator: Thank you. Your last question is a follow-up from Jamie Baker of JPMorgan.
Jamie N. Baker - JPMorgan Securities LLC: Oh, hey. Thanks for the follow-up, guys. Robin, you discussed or maybe it was Marty that discussed a reluctance to forecast far out on RASM, but in my opinion, well, it feels more like an inability to forecast further out, potentially, I don't know, but potentially reflecting the tools that you are using. So, I wonder if you've given this any thought because there are options out there in terms of RM technology, there is the opportunity to pick people off from the competition. I think what the market really needs to hear is that, in addition to potential capacity cuts, you're willing to potentially make investments in shoring up revenue management so that you can potentially, at some point, forecast in a more similar fashion as does the competition. Have you given that any thought whatsoever?
Martin J. St. George - JetBlue Airways Corp.: Hi, Jamie. Thanks for the question. I'll start by saying...
Jamie N. Baker - JPMorgan Securities LLC: Well, with all due respect, Marty, the question was for Robin. But I'm happy to hear from either of you.
Robin Hayes - JetBlue Airways Corp.: You can hear from Marty first, then you can hear from me, Jamie.
Jamie N. Baker - JPMorgan Securities LLC: Thank you.
Martin J. St. George - JetBlue Airways Corp.: I guess my first comment is I think the big difference between forecasting and guiding, we obviously have a RASM forecast, what we expect to see for the year based on the model that we use looking at our additional capacity growth, GDP, CPI, things like that. On a macro level, we don't walk into a year without a forecast. That's not the same as being comfortable guiding it. So, obviously, we take guidance very seriously, and we want to make sure that when we get to the point of guiding that we've got enough visibility to make sure that we'll meet or exceed that commitment. So, I would certainly not say that we don't have that. I mean, the one thing I would say is that, and we've talked about this on previous calls, we do take a good chunk of our bookings close-in. Even though, we are a low-cost airline and a leisure-focused airline, half our bookings are coming in within the month. So, from that perspective it doesn't take much swing to make a one or two point difference. So, from that perspective, I think the bigger question to really have a security and comfort that you're talking about is changing our booking curve. And I think that's a different exercise. I don't know Robin if something I missed and...
Robin Hayes - JetBlue Airways Corp.: Yeah, Jamie, I appreciate the question and of course we want to be better at our revenue forecasting because it makes our job easier too. I think, Marty has pointed out, I don't think it's a lack of investment. I think it's...
Jamie N. Baker - JPMorgan Securities LLC: Okay.
Robin Hayes - JetBlue Airways Corp.: But let me say this, the other thing that we are thinking about and let's be transparent is I think we get a lot of choppiness as we guide the month. I think, moving to a position where we kind of guide a quarter is kind of where we want to move. So, I think, it removes some of the – and there was an airline that's still predominantly leisure. We're still much more dependent on the peaks or troughs of that holiday season than others might. I also think, although, we can certainly improve, I think, some of our competitors have also talked about some of the challenges of forecasting revenue even sort of beyond the current quarter. But yeah, take the feedback and it's something we are spending a lot of time talking about internally about how can we become better and move to a point where we move to a sort of quarterly guidance more.
Jamie N. Baker - JPMorgan Securities LLC: So, if I understand correctly, you're content with your bench? You're content with your technology?
Robin Hayes - JetBlue Airways Corp.: Yes.
Jamie N. Baker - JPMorgan Securities LLC: Okay. That's it. Thanks.
Robin Hayes - JetBlue Airways Corp.: Thank you.
David Fintzen - JetBlue Airways Corp.: That concludes our fourth quarter 2016 conference call. Thanks for joining us. Have a great day.
Operator: Thank you. And again, that does conclude today's conference call. Thank you for your participation. Now, we ask that you please disconnect your lines at this time.